Operator: Good day, ladies and gentlemen and welcome to the Brandywine Realty Trust Fourth Quarter 2017 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today’s conference, Jerry Sweeney, President and CEO. You may begin.
Jerry Sweeney: Glenda, thank you and good morning, everyone and thank you all for participating in our fourth quarter 2017 earnings call. On today’s call, with me today are George Johnstone, our Executive Vice President of Operations; Tom Wirth, our Executive Vice President and Chief Financial Officer and Dan Palazzo, Vice President and Chief Accounting Officer. Prior to beginning, certain information discussed during our call may constitute forward-looking statements within the meaning of the federal securities law. Although we believe estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. For further information on factors that could impact our anticipated results, please reference our press release as well as our most recent annual and quarterly reports that we file with the SEC. We’ll start with a review of our 2017 results and then move into our 2018 business plan and I’m really just going to touch on ’17 results, as our disclosures lay out a clear roadmap that demonstrate our very solid ending to 2017. From an operational standpoint, we exceeded the vast majority of our goals, namely tenant retention, cash mark-to-market leasing capital cost, average lease -- and our average lease term. In addition, we met our cash and GAAP same-store targets, the lower end on GAAP and the higher end on cash. We did come up 70 basis points short on our same-store leasing target for the year, primarily driven by the timing of leased executions by definitive prospects that have been or will be signed in Q1, 2018. We also continued on our path to grow net effective rents with 2017 having a 7% increase over a net effective rent average of 2016. On the investment front, you may recall our original disposition target was $100 million at a forecasted 8% cap rate. We finished the year with $430 million of sales, not including the reselling of evo transaction, our average cap rate was about 6% on a GAAP and cash basis. The major contributors to our fourth quarter investment activity are included on page 3 of our supplemental package. On the balance sheet, we made great progress during 2017. Net debt to ea closed out the year at 6.2 times versus 6.9 times at the beginning of the year. We accessed the public debt markets, raised $550 million at an average yield of 3.9%, used those proceeds to pay off $325 million of 4.95% bonds. We also paid off of $100 million of 6.9% coupon preferred shares during the year. We reduced our average cost of debt by 45 basis points. We lengthened our debt maturity to 7.7 years from 5.9 years at the beginning of 2017. We ended the year with a net cash balance of $202 million, zero balance on our line of credit with minimal floating rate exposure through the company. We also increased our quarterly dividend from $0.16 to $0.18 per share or 12.5% annualized increase. And finally, to further improve our funding capacity, financial flexibility and improve our balance sheet, we did utilize our ATM program, which has been in place since 2013 and sold $51 million of stock at an average price of $18.19 per share. It was a challenging decision for us, but frankly given the sector’s equity market volatility, interest rate headwinds, we opted to issue the shares to ensure continuation of our balance sheet targets and also to ensure forward funding capacity. From an earnings standpoint, this issuance was a $0.02 per share dilutive to 2018 FFO, but at the midpoint of our guidance, we are still posting a 4.5% FFO growth rate and 11% CAD growth rate with a constant dividend coverage of 68%, even after the dividend increase. From an NAD perspective, this issuance did not dilute net asset value with consensus NAV of $18 at the high end of the NAV range, that resulted in $0.03 per share NAV dilution. In the lower end, it was actually accretive. So since we don’t really publish an NAV, having referenced t hose as relevant data points to our investors, so our approach on issuing those shares was to ensure that we met our balance sheet targets, absorb tremendous financial flexibility, the floors fund our development value add pipeline and that was a decision we made in the middle of December of last year. So to wrap it, 2017 resulted in the solid execution on the key pillars of our strategic plan, mainly growing earnings, growing cash flow, free funding our development and enhancing our balance sheet. We ended the year with solid operating performance. The success of our investment and financing activity has demonstrated our discipline to continually improve our balance sheet, create a growth driven portfolio and free fund our development activities. As indicated in our press release, we have updated our previously issued 2018 guidance range, which was previously $1.36 to $1.46 per share to $1.33 to $1.43 per share. The revision to our midpoint is driven solely by $0.01 per share dilution caused by the evo sale and the $0.02 per share dilution caused by the ATM issuance. Now, looking at this year, our 2018 plan is off to a great start. We already have 75% of our revenue plan done, with a strong pipeline of pending lease activity. We believe our operating plan is on solid footing with the bias to the outside. Our 2018 business plan objectives are clearly laid out on page three of our supplemental package and we also compare our 2018 targets to our full year business plan targets on page 6. So bottom line, 2018 represents a continuation of strong operating results with occupancy and leasing levels improving, positive mark-to-market, positive cash same-store growth and capital costs remaining within our targeted range. Our current business plan does not incorporate any acquisitions, nor any dispositions beyond our evo sale. We are continuing to project one development start during the year with the dollar value ranging between $50 million to $100 million and as we’ve emphasized, we don't really plan on starting any new development without a significant pre-lease and a strong pipeline of follow-on deals. The only financing activity we have on our plan is the recasting of our $250 million term loan, which we anticipate doing during the first half of the year. Just some other quick notable highlights, focus remains on cash flow growth, capital allocation and a strong balance sheet. With the evo sale and the ATM issuance, we’re now projecting achieving our 6.0 times EBITDA target by 2018 and strong cash flow, even with our 12.5% dividend increase we anticipate maintaining a solid CAD payout ratio of 68% at the midpoint. Just in looking at our development and redevelopment pipeline, first of all, all of our development activities are clearly laid out on pages 13 through 15 of our supp. Our overall development pipeline is currently 77% pre-leased and our projected remaining spend is about $168 million. That’s been fully pre-funded through our sales acceleration. We did proceed on two smaller renovation projects, 500 North Gulph Road and 426 Lancaster Avenue with an anticipated aggregate investment base of $39 million and targeted return levels of 9.5% cash on cash. As part of our Schuylkill Yards development, we did close on the acquisition of One Drexel Plaza, a 283,000 square foot office property for $35 million that we plan to reposition over the next 12 to 18 months. Based upon our preliminary budget of $83 million, which includes the acquisition price, we anticipate a targeted return of 9%. We have also executed a lease with a life science company for 108,000 square feet, we will begin staging in their occupancy in late second quarter 2018. We also started construction of our 165,000 square foot building at Four Points in Austin, Texas. That project 100% leased to an existing tenant under a 10-year lease with estimate cost of $4 million to $8 million. We anticipate delivering that in Q1, 19 at an 8.4% projected return on cost. We also construction on our 4040 Wilson project at 50% mixed use development, 50% joint venture ownership interest. There is a mixed use development in the Boston submarket that will contain 189,000 square feet of office, 36,000 of retail and 250 apartment units. The office and retail component is currently 46% pre-leased, leaving us with a little over 100,000 square feet of lease over the next two years. Estimated cost will be $225 million. All of our equity is funded and the balance of cost will be handled via third-party constructional loan. We anticipate substantial completion in Q1, ’20 with an office stabilization in Q3, ’21. We continued construction on our Subaru of America project at our Knights Crossing Campus. That project is 100% leased on an 18-year lease at a 9.5% return and incorporates 2% annual bumps. We continue to advance planning, predevelopment and zoning efforts on several other development sites, including 405 Colorado and downtown Austin, larger ranch in suburban Austin and a broaden more master plan in Northwest part of Austin, our Metroplex project here in Pennsylvania suburbs and Phase 1 of Schuylkill Yards. At this point, George will provide an overview of operating performance, including some color on our ‘18 business plan and then turn it over to Tom for a review of our financial performance.
George Johnstone: Thank you, Jerry and good morning. We continue to be pleased with the pace of activity in all of our markets. As Jerry detailed in his commentary, market activity and our team's ability to source, negotiate and close deals allowed us to beat a number of our 2017 goals. These same characteristics have us off to a great start to 2018 with 75% of the plan achieved. The pipeline, excluding development properties, stands at 1.6 million square feet with over 300,000 square feet in advanced stages of negotiation. During the quarter, we generated 92 space inspections, totaling 547,000 square feet, outpacing the third quarter in both measures. In terms of our core markets and the underlying assumptions contained in our 2018 leasing plan, in CBD Philadelphia, during the fourth quarter, we renewed and expanded Comcast at Three Logan Square. Our CBD portfolio rollover exposure is now below 9% each year through 2021. As discussed on our last call, a 100,000 square foot tenant vacated 5 contiguous floors at Three Logan on January 1. Since our last call, we've executed leases on two of these floors and are under LOIs for two additional floors. The floor deals were done at an average cash mark-to-market of 10%. At Cira Center, two full contiguous floors totaling 55,000 square feet roll on June 30. Our 2018 plan still assumes these floors remain vacant for the duration of the year. We've had several tours to date and have one proposal outstanding for half of the space. Turning to the Pennsylvania suburbs, our fourth quarter activity in Radnor has increased our leasing percentage to 92.5%. The large suites vacated in 2017 continue to see good levels of activity and tours that picked up in the last two weeks. We have assumed 90,000 square feet of currently vacant space to be reabsorbed in the latter half of the year. We've been selected demo in several of the spaces and completed several common area improvements during the fourth quarter to aid in our leasing efforts. The pipeline in Radnor consists of approximately 235,000 square feet, including seven prospects over 20,000 square feet. In Northern Virginia, we're currently 91% leased and with Northrop Grumman’s renewal in Dulles Corner behind us, our annual rollover in metro DC is also below 9% for each year through 2021. Tours in our Northern Virginia portfolio were up year-over-year. The pipeline of new deals is 270,000 square feet and we have approximately 100,000 square feet of new leasing in our open 2018 business plan. Market drivers in DC continue to be metro access in fully amenitized buildings. We've proactively built a number of spec suites to capture tenants seeking quick occupancy. Boston’s economy is as robust as it’s experienced in nearly two decades with regional unemployment at 2.7%. Our Broadmoor 6 redevelopment remained 79% leased. A number of prospects continue to show interest and we have no doubt the remaining space will lease up quickly in the hot Northwest domain market, which is increasingly known as Austin’s second downtown. The remaining portion of our DRA joint venture continues to perform well. We're 70% done on their leasing plan with both mark-to-market and same-store NOI growth continuing to demonstrate high growth characteristics. Our business plan targets remain unchanged from our last call, but a point to elaborate on a same store NOI growth. As a result of several large moveouts occurring in the second half of 2017, coupled with the Three Logan’s vacate this month, our first and second quarter same-store growth metric will be below our annual range. The same-store portfolio will return to growth levels ranging between 3% and 5% on a GAAP basis and 2% to 4% on a cash basis in the fourth quarter as these spaces are reabsorbed. It is worth further noting that our current 83 property same-store portfolio will increase in the third quarter when FMC Tower, 1900 Market Street and 933 First Avenue transition into the same store. With these additional four properties in the mix, our second half of the year same-store NOI will range between 10% and 13% on a cash basis and 4% to 5% on a GAAP basis. So to conclude, we're delighted with the achievement to date on the business plan and with the activity levels in our markets to meet the balance of our 2018 objectives. And at this point, I'll turn it over Tom.
Tom Wirth: Thank you, George. Our fourth quarter net income totaled 73.1 million or $0.41 per diluted share and FFO totaled 53.7 million or $0.30 per diluted share. Some observations regarding the fourth quarter results, same-store rates for the fourth quarter were negative 2.3% GAAP, positive 3.3% cash, both excluding net termination other income items. We've had 20 positive quarters of cash metric, while we have negative quarterly same store growth, we achieved positive for the full year 2017. We incurred 6 million or $0.03 per share of one-time related costs, early debt extinguishment of debt, comprised of 3.9 million from the early redemption of our 2018 bonds, 800,000 of net interest expense due to having the bonds outstanding for the make-whole period and 1.3 million on our share of costs related to the prepayment bit the of mortgage is related to Austin joint venture. Due to timing, the issuance of shares through our continuous equity program generated an incremental 510 weighted average shares during the quarter. Our fourth quarter fixed charge and interest coverage ratios were 3.2 and 3.4 respectively and common shares issued in the fourth quarter sales activity reduced our net debt to ea to 6.3. Looking at first quarter of ’18, the following are just some of our general assumptions. Property NOI will be approximately 75.5, a sequential 1.5 million increase from the fourth quarter of 2017. FMC, office and residential operations will generate an incremental $2 million of GAAP NOI. One Drexel, 3000 Market in Four Tower Bridge was generating an incremental 500,000. Partially offsetting this increases is 500,000 of NOI from the fourth quarter based on asset sales and then another $500,000 will be negatively impacting our NOI for the first quarter related to demolition costs for one of our redevelopment projects. FFO contribution from our unconsolidated joint ventures would total $6 million and reflects this joint venture sale of evo. G&A, consistent with prior years, our first quarter G&A will be high at $9 million and our -- but our annual G&A for the year will be $28 million. Interest expense will decrease to $20 million, reflecting the fourth quarter effective bond transactions in ’17 and capitalized interests will be 500,000. Termination and other income will be 500,000 and 600,000 respectively. Net management leasing and development fees will be 2.5 million and we have no incremental ATM activity in our plan. Looking at the capital plan, we project CAD will be up 11% from the midpoint of our range. The coverage is very similar to our 2017 coverage based on the CAD growth and our dividend increase. Uses for 2018 will total about $370 million. It's comprised of 160 of development or redevelopment, $130 million of common dividends, 38 million of revenue maintained and 35 million of revenue create and 7 million of mortgage amortization. The primary sources will be 215 million of cash flow from operations after interest. 43 million from evo proceeds and a 112 million of use of cash on hand. Based on the capital plan outlined, our projected cash balance will be approximately 90 million at the end of the year. Based on equity issuance and the evo sale, we now project our net debt to EBITDA ratio will be at six times by the end of the year and our debt to GAV will remain in the high 30% area. In addition, we anticipate our fixed charge ratio improving to 3.4% and interest coverage improving to 3.8%. I now turn the call back over to Jerry.
Jerry Sweeney: Tom, thank you. Thank you too, George. So to wrap up, ’17 results strong, 2018 is off to a very solid start. We remain very focused on growing earnings, growing cash flow, managing our forward leasing rollover risk which as George touched on, we have down into the single digits, maintaining and ever improving our balance sheet and creating a steady pipeline and evaluate opportunities. So with that, we’d be delighted to open up the floor for questions.
Operator: [Operator Instructions] And our first question comes from the line of John Guinee from Stifel.
John Guinee: Two quick questions. First, very nice call. Amazon HQ2, I really always hate to ask this, but what are the primary locations for both Philadelphia and Austin? And then second, 4040 Wilson, how much, Jerry or whoever, is the development per square foot for the office and retail and the development per unit cost for the residential.
Jerry Sweeney: John, I’ll take the -- I mean, look, first of all, on Amazon, it’s obviously a big topic nationally and I think from our perspective, first of all, congratulations to the cities that made the shortlist. We're really delighted that Philadelphia was on that list and followed up with Austin and DC being on that list as well. Our role in that really honestly John is to stand at the ready to assist the city in any way we can to facilitate their bid. We're very enthusiastic about that, who knows where that process goes. I think as I mentioned on the last call, it's fascinating from a real estate standpoint to see what a disruptive influence the process Amazon has used for site selection and had on our business and I think it's going to generate a lot of positive long-term value for our industry. Look, in terms of the – there is a whole range of sites, most of which are online and people can check out in terms of the shortlisted cities. Schuylkill yards is one of the developments that was submitted as part of the Philadelphia bid, so we’re -- again stand at the ready to help this city. Anyway we tend to facilitate that process as well as in Austin and DC as well. So, this is really a process being led by Amazon at the forefront or the political and specific leadership of the respective cities and our role is to support them however we can to have each of the cities put forth the best that they possibly can.
John Guinee: 4040 Wilson development cost?
Jerry Sweeney: Yeah. I think on the overall development cost, we’re looking at $560 a square foot. I don’t have the breakdown in front of me, John, so we can follow up with the breakdown between the retail and the office and the residential, so I apologize for that. So we can certainly follow up with that. As we started to look at moving forward with that project, certainly saw an opportunity to secure, from a pre-lease standpoint, we had a 2020 delivery, that some market we think is -- and the location we’re in we think is a great location and will get better. And we think we're building into a stronger market with the delivery of the Boston mall, but far city is doing. There will be another 400,000 square feet of retail, new restaurants, et cetera. So we think that some market in the location of the project that we started will continue to be better and we actually did see an opportunity to introduce a bit of a mixed use tower to that market, so it’s a differentiated product with a bit of a differentiated amenity package. And we think that that will want to make a real point of difference for us as we stop the balance of the office space over the next couple of years and fill in the balance of the retail and the apartment leasing.
John Guinee: And then lastly real quick, will you be in Minneapolis next weekend?
Jerry Sweeney: [indiscernible] So we’re trying to evaluate all the different options. We will be t here where we will be having a big family party, probably the latter, because I think I enjoyed the last year with my brothers and sons and daughters and so it’s an exciting time.
Operator: And our next question comes from the line of Rich Anderson from Mizuho Securities.
Rich Anderson: So just a big picture question for you Jerry, I guess this is a recurring theme from Brandywine in terms of dispositions bringing down their earnings growth profile. As we wrote in our note last night, we understand them to be very good real estate decisions, value creation and all the rest. But I'm curious where you're at on that process because we sense I guess a sense of frustration from investors that are waiting on growth going up as opposed to down and maybe the disposition process is nearing an end, so that we won't have these things to explain in future periods. I mean just wondering how you balance the idea of good real estate decisions with the fact that you're a publicly traded REIT that where growth at the same -- growth at the quarterly basis matters to people?
Jerry Sweeney: Rich, fabulous. And look, it is a struggle and we talk to a number of investors that are, I don’t say, equally split, but there is clearly a recognition that there is sometimes the distinction between earnings momentum and value creating or value harvesting. So I guess as we look at it, we've sold an awful lot of properties, almost $2.5 billion over the last five years. We do believe we have about $400 million of non-core properties left. I think more thematically, as we look at the events in the last call the quarter or so, including the sale of evo, we look at that even with this sale of evo, which I’ll talk about in a second, we're still generating what we think is a top quarter pile FFO growth in the office sector. Again, our primary focus is on cash flow growth, so we're able to really generate low double digit cash flow growth. And we also think that kind of in these uncertain times, it does make sense to make sure that we're really bulletproofed on the right side of the balance sheet. And so certainly having increased financial capacity is very much at the top of our thoughts. With that general theme, we do take a look at the office, the office markets continue to be in a state of disruption across the board, whether the impact of technology, product coming online and we do recognize that the markets and submarkets are ever changing and we really need to be mindful of where we think each of those markets will be in the next five to ten years and frankly where our product will be positioned in those markets. So we always want to maintain earnings momentum and we do acknowledge that this asset churning does create a sense of frustration by some investors, but honestly from, I think as a shareholder perspective, I don't think we’d want to be in a position where we're afraid to trade all FFO value creation and harvesting. As you know well, markets move – both capital markets and real estate markets. So I think our approach going forward is, I think, we will remain opportunistic. So for example, on the sale of evo, that was a wonderful opportunity to sell with a non-core asset in a really core location for us. We had a great partner with Harrison Street there who knows this market segment very well. After some test marketing, we’re able to really identify international global investment fund based in Southeast Asia, we were able to see the long term value in owning that property. So they made their first entrance into the Philadelphia investment market, which we think is a great result for our portfolio with some great read through, so the two sales that we've done at Cira Center south have both been the foreign investors which we think really starts to validate the investment thesis in Philadelphia that we’re trying to create. But then we take a look at some of the non-core assets, I mean, as we look at the plan going forward, we would hope to identify access sale opportunities with some matched funding for either asset acquisitions or crating some value toward development pipeline. So that’s a long winded answer. We acknowledge the concern that some investors have raised. We did look at our landscape for 2018, but either with these sales, we were still posting pretty good growth metrics. And that as we said through the last several years, they’ve certainly learned the lesson to make sure their balance sheet remains in exceedingly good shape going into whatever the cycles were.
Operator: And our next question comes from the line of Michael Lewis from SunTrust.
Michael Lewis: I actually was going to ask that same exact question that Rich just asked, you gave a good answer to it, but maybe I could take it one step further, which is another thing about Brandywine is it's common for you to have assets for sale, but you're very particular about getting your price and you're not afraid to take it off the market. I was wondering if you could share how much you have on the market now and then it sounds like from your comments, if you've got 400 million of non-core, do you think it's not out of line for us to be kind of assuming that you sell roughly 400 million over the next couple of years, kind of opportunistically.
Jerry Sweeney: I think that's a good assumption as you look out over the next couple of years and I think we’ve really done a great job of getting the portfolio back to where we wanted to be. These non-core assets were still working through some of the value creation that we think we can harvest from them, which is why we developed our plan we didn’t really lay out a target number. But right now, we really do not have a lot of the market. We always respond to reverse inquiries, which we’re seeing somewhere -- which we always get in from all three of the markets that we're in. But I do think, as we look going forward, we are going to be very focused on continuing to monetize our land holdings, which we've had great success over the last couple of years. That we are going to continue, as we’ve laid out in our full year business plan, try and reduce our exposure to some of these joint ventures and we're able to do a couple of good transactions, the latter part of ’17 with a partial sale of DRA, the swappings of the property interest with our Conshohocken venture to accept that as well as on the Allstate side, sell out of the property. It’s really a manageable thing, a strong investment market there. So I do think that, as we said on previous calls, we think a lot of the heavylifting is behind us in terms of portfolio repositioning, but I do think it’s incumbent upon us, all should be very mindful of where we think these markets are going and so always staying in close touch with capital sources in the investment market to make sure that we are in a position to respond as we see opportunities come up.
Michael Lewis: And then you mentioned the tough decision to issue the shares. I was just wondering if you think you may have more appetite to do that if the stock trades above 18 bucks, which seems to be about the consensus NAV of if maybe now that you're -- you have this clear path to the target leverage, if maybe you would have less appetite to do more equity unless the stock price of course got much higher.
Jerry Sweeney: Yeah. I think the primary though process that we had on this ATM issuance was to really make sure we were in great shape from meeting our balance sheet targets. I think as we look at going forward, we would be looking at any equity issuance tied to an investment opportunity that would create value for our company. So if you kind of look at it from a strategic standpoint, we view this $50 million of equity issuance that really was the last piece of the puzzle in kind of achieving that we -- in achieving our balance sheet goals. I think going forward, we’re going to be very focused on where that currency can create value for our shareholders on a going forward basis.
Michael Lewis: Thanks. And if I can ask just one more, I'm going to put the cart way before the horse here and ask when Amazon picks a market, well first, I don't know, I guess they probably pick a location within a market. Do you have any sense on how you kind of negotiate the terms of a rent and terms like that? Do you think that there's any expectation that Amazon or the government would expect you to make concessions, if for example, they pick Schuylkill Yards. I'm just curious how the process would work once we get past this initial part.
Jerry Sweeney: Michael, it's a good question and I don't have any real visibility. I mean honestly, our role has been in a support one to the public policy makers, both the city and the state level where we are to kind of help them develop kind of the real estate fundamentals to present the best platform for them to in turn present that Amazon. Amazon is an incredibly smart, incredibly talented company that knows what their business objectives are. So my expectation would be whatever selection they choose or selections they go for another shortlist, in fact they take, it will be an intense negotiation across the board, but our role really is one of total support and how any site, not just the Brandywine site, but any of the sites that are under consideration, have they all stayed in, I think it is a big TBD in the minds of all of the real estate arms.
Operator: And our next question comes from the line of Rob Simone from Evercore ISI.
Rob Simone: Just a quick housekeeping question for us. Now that you guys have dealt with at least part of the Comcast lease and you talked about the move outs at the end of June. Sounds like you’re early on dealing with those. Are there any other tenants in the portfolio that you could speak to that might give you pause as potential move outs over the next call at 12 to 18 months?
George Johnstone: Sure. It is George addressing the question. We only have four leases in the balance of 2018 over 20,000 square feet. I mentioned in my prepared remarks the 55,000 square feet at Cira. We've got a 48,000 square foot tenant down in Dulles Corner that we know is going to move out in the third quarter. The other two tenants there over 20,000 square feet are both projected to renew and we're in negotiations with them right now. And then as we look into 2019, our largest exposure is with Comcast at Two Logan and we continue to kind of just wait and evaluate what their ongoing needs are going to be. I think they continue to grow and need space and are in the building now, so we're kind of just playing that one by ear and that's a 1/1/19 event date. And then three others all kind of over 50,000 square feet, we’re in active negotiations with already and think that we’ll end up retaining or hope to retain each of those. So again, ’18, ’19 and even 2020 expirations are all kind of on the table with our leasing teams every day to try and further mitigate our rollover exposure.
Operator: And our next question comes from the line of Craig Mailman from KeyBanc Capital Markets.
Craig Mailman: George, maybe if you could, I know you guys have another piece left with Comcast. Just any update there potentially on what they're planning to do and just remind me, was any of the Comcast expansion related to the activity you're seeing for the Verizon backfills?
George Johnstone: Yeah. So on the Three Logan piece, the expansion occurred outside of the Verizon floors. We did take one tenant who was in a Comcast expansion floor and moved them down to the Verizon, but the rest of that leasing activity in the Verizon space has come from other parts of the city. The Two Logan piece, again as I said, I think it's a little bit of a wait and see. They expanded by 65,000 square feet in Three Logan. So they need to kind of staff that up and then we'll kind of see what the next bite at the apple was.
Craig Mailman: What's left on Verizon now?
George Johnstone: Just one floor, so 20,000 square feet.
Craig Mailman: And then Jerry, on evo, it was unclear from the press release, did Harrison Street show there interest as well?
Jerry Sweeney: Craig, 100% of the interest in the property was conveyed. So Harrison and Brandywine sold as well.
Craig Mailman: And then just lastly, we've hit on dispositions here a bit, but and I don’t know we talked about last quarter, but just a decision not to include any incremental at this point and it’s kind of the fatigue with you guys. Given guidance and a quarter or later, lowering guidance again, just -- the decision not to look at what you have in the market, what you really think you're going to sell this year and put that into guidance and if you have to, at the end of the year, raise guidance because you didn't hit the disposition target, kind of the decision to not go that way rather than kind of we’re seeing.
Jerry Sweeney: It’s a good point you raised. I think from our perspective, we're coming up really heavily weighted disposition goal in 2017. And frankly some of that was, I don’t say it was a surprise to us, it was a good progress in the market, but as was mentioned, we do lay out pretty solid price targets that we try and achieve and as we're coming out of ’17, I think our perspective was that the primary focus we have in a company is as I mentioned to keep growing our earnings, growing cash flow and we felt like a lot of the immediate market sub positioning we're targeting we had achieved. Eva was a process that we had a very solid bar that both Harrison Street and Brandywine set for and access. We frankly weren’t quite sure we would get to that level. We wound up having a very well orchestrated process that had a lot of different point of communications and we were able to identify a buyer who has the quality of being able to deliver efficiently on a transaction that size and had a really good long-term perspective which fit in well with what we’re trying to do here in cities. So we weren't really sure that transaction would come across the table we did our last earnings call.
Operator: And our next question comes from the line of Manny Korchman from Citi.
Manny Korchman: Tom, jumping back to the ATM rates for a second. So I get that you want to build up some dry powder. In your mind, is there a use for that dry powder that you're just hesitant to put into the 2018 plan, development starts to move, acquisitions didn’t move, do you have the money earmarked and you’re just not disclosing for what are you just trying to make sure that you have dry powder going into, let's call it, the end of ’18 or even into ’19 with that leverage target that you’ve set out in the past as sort of the bogey you're going for?
Tom Wirth: I think as Jerry mentioned, we did want to get to the bottom end of that range and hit the six. So – and I think that was a driving predicate, but we do have several, as we say, we have one development start we'd like to do and we will be taking on some debt – attribution leverage with 4040 Wilson. So those were two items and then we have a couple of other opportunities for development also. So I think it was -- we had some dry powder, we’ll have cash at the end of the year as I mentioned of close to $90 million. So I don't think it was a liquidity decision. I think it was more towards leverage as well as having some dry powder to make sure we hit the six. So –
Manny Korchman: And George, just thinking about Schuylkill Yards as a bigger project, how much of the demand or at least discussions you're having right now are coming from tenants that are already at FMC, especially in the context of rent abatements, is that project running off and being provided at the Schuylkill project?
George Johnstone: Well, I think anybody looking at Schuylkill Yards a couple of years down the path, so we haven't really had any discussions with our existing tenant base for Schuylkill Yards, but we continue to get a number of inquiries from inside the city, outside the city, outside the region about that project and all of the elements that it brings to the table.
Operator: And our next question comes from the line of Jamie Feldman from Bank of America Merrill Lynch.
Jamie Feldman: I was hoping you guys can just talk through your thoughts on future development projects like if we look at the land inventory on page 16, if you could handicap what next starts might be or maybe just talk to kind of the level of interest in build to suites for some of those projects?
George Johnstone: Sure. Jamie, I’d be happy too. We continue to finalize the approval processes for our 405 Colorado project in downtown Austin. That market is doing incredibly well, Rents have continue to migrate north on both the notional and effective basis. So that is 200,000 square foot building with parking underneath it. So it’s not a large building in terms of square footage. So I mean, while we're finalizing the approvals, we're spending a lot of time pre-marketing that project and we certainly view that as something we want to start as soon as we sign up the tenant. We were also down in Austin in a process of ramping up our approvals on Broadmoor, which as you know is a multi staged build out. So we’re starting to play any process down a couple of individual buildings there that we think will be well received, but that's probably -- in terms of delivery a ’19 event. And then here in Philadelphia, I think the focus is primarily on our Metroplex project which had employment meeting, which is -- depending upon the configuration between two and 340,000 so we’re in active discussions with a number of prospects on that. We're designing an incredibly high quality building that is something unlike anything that Philadelphia suburbs has seen before. So it’s a site core configuration, very efficient for [indiscernible]. So the price point we’re trying to achieve there is the upper end of the market, but we're getting good traction on that because of I think some companies recognizing the value of that location and also the quality of the work environment that they can create there. And then on Schuylkill Yards, we continue to work with our partners, Gotham on the residential side and Longfellow on the life science side along with our Brandywine team to really think through the various components of our Phase 1 development, which we still currently contemplate will be in office on life science building, but we’re also evaluating expansion of a retail phase there as well as the incorporation of potentially some residential. And then down in DC, we were able to get the 4040 Wilson transaction moving forward and we're just in the premarketing mode for the balance of our office inventory down there.
Jamie Feldman: And then I guess just your views on co-working and how you think it’s going to have a -- make a difference going forward in your markets and how you guys are reacting for the trend?
George Johnstone: Yeah. Look, I think it’s a very viable delivery platform that addresses the needs of a number of tenants. I think it’s – we’ll be interested to see how co-working evolves from kind of the small smart entrepreneurial model to really serving as temporary office space for large corporate users. We track that -- we have some of the co-working spaces in our existing inventory. We spend a lot of time with those folks making through how we can facilitate their growth, while at the same time accommodating expansion requirements even if they're temporary by some of our more traditionally based tenants. So I think we maintain a very good relationship with the number at the co-working companies. Certainly, the platforms we have in all three of our key markets I think are attractive to them in terms of the location, the quality sponsorship, part of our inventory. And I think the next step for us is really thinking through how we can piggyback some of their ideas to meet a temporary niche that we see in some of your corporate level tax. And I think we would expect the nextgen progress on that during 2018.
Jamie Feldman: Do you see meaningful growth through those types of tenants over the next year or so in your markets and in your portfolio?
George Johnstone: I think we’ll see continued expansion, Jamie, [indiscernible] meaningful growth, but I think there is about half a million square feet of that in the overall Philadelphia market. It all seems to be doing pretty well. But there is a lot of variability between the location of those co-working spaces, one doing incredibly rocky with its allocation and other one not doing so well. So, a lot of the location attributes, amenity attributes that we typically see with our standard corporate traditional tenant are also requirements of some of these smaller startup companies as well. So I think there will be continued expansion. I don’t know if there is going to be substantial growth over the next 12 months.
Operator: Thank you. And that concludes our question-and-answer session today. I would like to turn the call back over to Jerry Sweeney for closing remarks.
Jerry Sweeney: Great. Well, thank you all for participating in our fourth quarter call. We look forward to updating you on our activities on our first quarter call later in the Spring. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone, have a great day.